Operator: Thank you for joining Packaging Corporation of America's Second Quarter 2021 Earnings Results Conference Call. Your host for today will be Mark Kowlzan, Chairman and Chief Executive Officer of PCA. Upon conclusion of his narrative, there will be a question-and-answer session. I'll now turn the call over to Mr. Kowlzan. Please proceed when you're ready.
Mark Kowlzan: Thank you, Stephanie. Good morning and thank you for participating in Packaging Corporation of America's second quarter 2021 earnings release conference call. I'm Mark Kowlzan, Chairman and CEO of PCA and with me on the call today is Tom Hassfurther, Executive Vice President, who runs the Packaging business and Bob Mundy, our Chief Financial Officer. I'll begin the call with an overview of our second quarter results and then turn the call over to Tom and Bob, who will provide further details. I'll then wrap things up and then would be glad to take questions.
Thomas Hassfurther: Thank you, Mark. As Mark indicated, containerboard and corrugated products demand remains very strong across most of all of our end markets. Our plants achieved a new all-time quarterly record for total box shipments as well as a second quarter record for shipments per day, both of which were up 9.6% compared to last year's second quarter. Through the first half of 2021, our box shipment volume is up 9% on a per day basis versus the industry being up 6.8%. Driven by higher domestic demand, outside sales volume of containerboard was about 43,000 tons above the second quarter of 2020, but was down slightly versus the first quarter of this year due to lower export shipments. Supplying the record requirements of our box plants and the need to position inventory levels ahead of what appears to be a strong second half of the year. We are getting good realization from the implementation of our previously announced price increases across all product lines. Domestic containerboard and corrugated products prices and mix together were $0.92 per share above the second quarter of 2020 and up $0.51 per share compared to the first quarter of 2021. Export containerboard prices were up $0.09 per share versus last year's second quarter and up $0.04 compared to the first quarter of 2021.
Mark Kowlzan: Thank you, Tom. Looking at the Paper segment, EBITDA excluding special items in the second quarter was $12 million with sales of $142 million or an 8% margin compared to second quarter 2020 EBITDA of $5 million and sales of $123 million or a 4% margin. Although about 1% below second quarter 2020 levels, prices and mix moved higher for the first and into the second quarter of 2021 as we continued to implement our announced price increases. Volume was 17% above last year when pandemic issues caused us to take both machines at the Jackson, Alabama mill down for two months during the second quarter. While this year, we ran the No. 1 machine at Jackson on paper and the No. 3 machine ran linerboard. Now that we have our finished goods inventory at a new optimal level, sales volume in the second quarter is fairly reflective of what our production capability is as a three machine paper system. We'll continue to assess our outlook for paper demand and will run our paper system accordingly. I'll now turn it over to Bob.
Robert Mundy: Thanks, Mark. Cash provided by operations for the second quarter was $228 million with free cash flow of $97 million. The primary uses of cash during the quarter included capital expenditures of $131 million, common stock dividends of $95 million, cash taxes of $87 million, and net interest payments of $40 million. We ended the quarter with $972 million of cash on hand or $1.1 billion including marketable securities. Our liquidity at June 30th was just under $1.5 billion. I'll turn it back to Mark.
Mark Kowlzan: Thank you, Bob. As we move from the second to the third quarter in our Packaging segment, we expect continued strong demand for containerboard and corrugated products with one additional day for box shipments. Paper segment volume should be relatively flat primarily due to the scheduled maintenance outage at the Jackson Mill. We will also continue to implement our previously announced price increases in both our Packaging and Paper segments.
Operator: . Your first question comes from George Staphos with Bank of America Securities.
George Staphos: Thanks. Hi everyone, good morning. Thanks for the details. I guess maybe to start, Mark, if - and Tom if you could talk a bit about your early 3Q bookings and shipments. What are you seeing and related point, we heard from some in the trade that lack of availability has actually impaired producers - converters ability to ship in boxes in 2Q and into 3Q? You called it out as an issue, but is that preventing you from shipping from beyond what you reported in the second quarter? Thanks and I'll have a quick follow-up after that.
Thomas Hassfurther: George, its Tom. I can tell you that going into the third quarter, our bookings and billings are running about 7% ahead of last year. Keep in mind that our comps become much tougher. So it's not as if volume has slowed down at all. It's remained incredibly robust coming right out of the fourth quarter of last year and all the way through this year. I think that's why we felt quite a bit more comfortable about giving some sort of guidance going forward. Also, you asked about the some of the lack of supply in the second quarter maybe bleeding over into the third quarter. We're running lead times that are longer than we're used to and certainly longer than our customers are used to. So the demand remains very high. Trying to get it out the door is an issue more related to transportation at this stage than it is certainly about paper. We're able to take care of our own plants through our system. So that's not the issue for us, it's more transportation and I think that's reflective of most of the industry.
George Staphos: Okay. Thanks, Tom. My second question if you could talk or third question really is I think the last quarter or going into 2021, you had pointed to a sequential drop-off in maintenance for the third quarter. Just if you could affirm what your maintenance schedule is for this year versus last year. I think the drop off 2Q to 3Q should be about 12%? And then lastly on cost, you flagged what cost I think particularly in the south. Can you talk a little bit about what you're seeing? What kind of headwind that might be for you in the third quarter and fourth quarter? Obviously, the weather has been tough and that's usually what drives higher wood costs. Thanks and good luck in the quarter.
Mark Kowlzan: George, I'll take the wood cost. Obviously, we've had a very wet period of time throughout the entire Gulf Coastal region up to the southeastern states through the entire winter and spring into the summer months now. And so coupled with the high demand for pulpwood and the logistics issues with the trucking side of the equation, it's basically put the situation where it is that pulp prices are up dramatically because of those situations, but again, it's more of a weather related phenomenon than anything else. Bob, why don't you go ahead and talk about the average cost?
Robert Mundy: Yes, George, it's about $0.11 to $0.12 help going to 2Q to 3Q on outages, which is very similar to the - our wood costs going the other direction and about the same amount.
George Staphos: Thank you very much guys. Good luck in the quarter.
Mark Kowlzan: Okay, next question please.
Operator: Your next question comes from Mark Wilde with Bank of Montreal.
Mark Kowlzan: Good morning, Mark.
Mark Wilde: Hi, good morning, Mark. Good morning, Tom.
Thomas Hassfurther: Good morning, Mark.
Mark Wilde: Mark, for my first question, I'd like to just kind of step back a little bit and I know this is a sensitive issue, but I wondered if you could just discuss kind of plans and process around leadership succession at Packaging Corp?
Mark Kowlzan: Yes, we've talked about this before and as you could imagine, that's a Board level matter, but we have got the depths and the breadth of the talent across the board. That's been identified and we continue to develop. We're very confident in the talent pool we have and the Board feels the same way that. Again, we've got enormous opportunities with the talent across the entire company.
Mark Wilde: Okay. The second question I had is, if you could just walk us through the steps that you might be making if you downsize the footprint in the white paper business to a smaller capacity base and whether this involves shifts in your customer base. I think your filings in the past have pointed to two large customers.
Mark Kowlzan: Yes, as you can imagine, without the Jackson No. 3 machine, we've gone ahead and exited some business over the last six months and now as you think about that as a three machine system, we're going to be supplying a smaller marketplace. So we've been able to rationalize that accordingly, but that has shifted us down to a few bigger customers, but nevertheless, the entire market for us has shifted down over the last eight years, since we've run the paper business. And so we're very confident that we'll continue to supply into that market and do it in a meaningful manner as we go forward and so -
Mark Wilde: And then finally.
Mark Kowlzan: Go ahead Mark.
Mark Wilde: I just was curious, Mark, is it possible to think about I Falls as a containerboard mill at some point. I'm just trying to think about the puts and takes. Typically, upper Midwest with a lot of hardwood, you only produce medium up there, but I just - I don't even know whether you think from an engineering standpoint that's an option at I Falls over time?
Mark Kowlzan: Well, we've said this for the better part of the last decade that you can convert anything to do anything, but there is a capital cost and there are puts and takes with transportation, logistics and then what is your intent in terms of product mix. Right now, we have a good market for the paper that's coming out of I Falls. We'll continue to run to that opportunity. We have the Jackson conversion coming on big next year that will continue to supply us with the necessary containerboard for the next few years. And I would say this, as long as the Paper business offers us an opportunity with the International Falls mill, we'll continue to take advantage of that opportunity. In the future years, if that was not the case, then we'd have to reassess the situation and look at our optionality with that asset, but trust me, it's - you have to believe that we've already done that and we have the opportunities in the files and know what we would do at any given time. So we're pretty confident that we've got a lot of flexibility.
Mark Wilde: All right, well, Boise Paper has been the gift that keeps giving. So I'll turn it over.
Mark Kowlzan: Next question, please.
Operator: Your next question comes from Mark Connelly with Stephens.
Mark Connelly: Thank you. Two things, just on white paper, will Jackson will be all containerboard in the second half. I'm just sort of curious how these projects affect the ability to run white there?
Mark Kowlzan: Neither Jackson will continue to run with the No. 3 machine on containerboard and at the present time, our intent is to run No. 1 machine on a paper.
Mark Connelly: Okay, so even during the project, great. And secondly, you talked in this call and previous calls about box plants debottlenecking projects. I'm just curious if with all the activity you've got going on right now and all the COVID. Are you doing as many of those projects today as normal or more than normal, less than normal?
Mark Kowlzan: Yes, we're extremely pleased with the rate that we've been able to execute these projects and I'll give you an example, I mean, we did slow down a little bit last year during the 2020 period and we have become a little more targeted in what projects required the attention of the various technical organization just because of the travel restrictions and the concern for people's well-being, but this year that was ramped up to full activity and so we're continuing to execute well across the board. But I can give you an example, if you go back over the last 3.5 years, we've executed approximately at 62 of these box plants $850 million worth of capital project activity. Flexo Folder-Gluers converting equipment upgrades, major rebuilds, new corrugators, built the two new plants and so we're doing this all in-house, but the pace is ramped up in 2021 over some of 2020. So we're very pleased with what we're seeing. And so we currently have a great deal of activity going on at numerous plants nationwide that will continue to provide the benefits that I spoke about and that Tom spoke about. So, we're extremely pleased with the opportunities.
Mark Connelly: Fantastic. Thank you, Mark.
Mark Kowlzan: Next question, please.
Operator: Your next question comes from Mark Weintraub with Seaport Research.
Mark Weintraub: Thank you. First, it looks like you're getting really rapid and significant pass-through on the board increases into boxes. Can you give us a sense, A, is it true? Are you getting more than full pass-through and is this type of environment where you're able to achieve that? Can you give us a read on how much more is there to come in the third quarter and just wanted to confirm, are you including any of the pending August increase or is that excluded from the guide?
Thomas Hassfurther: Mark, this is Tom. Let me just comment, we say very little about our price increase, but this isn't any different than the price increases we've had in the past. It's a very disciplined approach that we do. We roll them in over approximately the 90-day period. We have local accounts to go in at a maybe a quicker rate than some of our contractual accounts. If you want to look at the three price increases kind of separately, the first price increase was effectively done, and but you do have some bleed over depending on contracts and things like that, timing, those can be impacted. Second price increase, the same way, it rolls out over a whole 90-day period. Third price increase hasn't been reflected yet in pulp and paper. So obviously, we have raised prices to our independent customers and our linerboard and medium customers domestically. Those are in place, but the lion's share of the price increase, which goes through boxes, again, that will flow through over a 90-day period. So virtually, none of that would be reflected at this stage in the third quarter.
Mark Weintraub: Okay, that's helpful. And lastly, one of the questions, the impact from volume you note I believe it was $0.74, which is $90 million, $100 million if we think of it pre-tax, which seems like a really big number relative to an extra 100,000, 120,000 tons of board and boxes being shipped. Just trying to understand how we get to that number? Is there some sort of mix element included in here as well or and I realize it's kind of an esoteric question but any help there would be appreciated?
Mark Kowlzan: Yes, Mark, yes, I mean, for starters, if you just look at the raw volume, I mean the raw volume is up dramatically and as we came out of COVID last year into that fourth quarter, the question mark and it was a big question mark for everybody was will that level of volume be maintained going into 2021 and then throughout 2021. So far, we've maintained very close to those kind of numbers and I think it's just indicative of what the market is right now and the changes that have taken place from consumer habits. Also, I'll remind you that last year during COVID of course you know from a mix standpoint, our display business had basically gone to nothing because of the shutdowns and no shopping in brick and mortar and things like that sort. So that end of the business had dried up quite a bit and that's back now and then also, we've had good cost controls in terms of getting this volume out. As we've indicated, a lot of these capital projects are paying off. So we can - we're very comfortable with the number.
Mark Weintraub: Okay, super quarter. Thank you.
Mark Kowlzan: Okay, next question please.
Operator: Your next question comes from Adam Josephson with KeyBanc.
Adam Josephson: Mark, Bob and Tom, good morning and congrats on a really good quarter as well.
Mark Kowlzan: Thank you.
Thomas Hassfurther: Thanks.
Adam Josephson: How would you - Tom, would you mind just elaborating on your demand expectations in the quarter just embedded in your guidance, you mentioned the comps get a lot more difficult in July. I know for the industry, the comps get particularly difficult in September. Can you just remind us roughly what your comps looked like last year and consequently what appropriate expectations might be as the quarter plays out?
Thomas Hassfurther: Yes, we had - Adam, we had some really, it really ramped up in the second half of the year as we've indicated. So those numbers were high-single even to mid double-digit increases by the time the fourth quarter rolled around. So to be at or above those numbers is a very, very large number and a robust number that we've essentially been able to maintain and if I look out into the second half of the year. And that's why I say these comps become much tougher, when you're starting to compare to a high-single and low double-digit numbers, pretty hard to be significantly higher than that given everything that's going on right now and just the difficulty getting it out the. door but interestingly enough, I'll also point out, our customer base is telling us that they could ship a lot more. They have higher demand than what they're able to get out because they're dealing with the same supply chain issues and transportation issues that we're dealing with. So I'm bullish because there is some upside even to these numbers that we have so far.
Adam Josephson: Yes, no, I appreciate that and just relatedly, Tom, would you compare this period to anything else you can remember having worked at the company. And if so, what would that period be?
Thomas Hassfurther: Well, I think a couple of things is number one is, I don't think we've ever gone through a time like this certainly in my career where the government has pumped a lot of money into the economy and businesses have just taken off coming out of a shutdown. I don't think anybody would have ever guessed that during a COVID shutdown, an extended COVID shutdown that people would turn to things like e-commerce very quickly and as rapidly as they did. Those habits are now pretty well entrenched and so what may have taken about five years to have occurred took place in a matter of a year. Those demands have certainly helped the corrugated box business, but again, interestingly enough, I mean I can look across we've got 15,000, 16,000 customers and our Top 50 accounts are up in excess of 15% and when you look at the mix of those companies across the board, I mean they are in every segment. Obviously, food and beverage is the largest one we have in the corrugated box business, but whether it's home improvement, apparel, like I said, food and beverage, whatever the case might be, they are up dramatically and most of our customers say they could even be higher.
Adam Josephson: Yes, no, I really appreciate that, Tom. Mark, on your cash balance and just your balance sheet situation. Obviously, you've done a terrific job of maintaining a rock solid balance sheet for a long time and you have over $1.1 billion of cash and equivalents at your disposal. Can you just talk about what your inclination is in terms of repurchase, acquisitions? I know you've got the spending on the project, but you have ample room to do more. You've been more reluctant to buy back your stock in recent years and understandably so, but just can you update us on your thoughts about best uses of cash at this point or perhaps there may not be any just given where asset prices are?
Mark Kowlzan: The same thought process continues that we've always used. You can use cash for dividends, acquisitions, buybacks is an example. Organic opportunities with capital spending currently happens to be a very, very big return opportunity for us that we've been taking advantage of for the last few years. We're always looking at opportunities in terms of acquisition opportunities. So that hasn't changed, but I think more than anything we just remained very prudent in how we go about looking at that use of cash and being mindful that every dollar is extremely valuable and again quite frankly currently I would rather take a $1 of cash and put it into a good capital project in a box plant or a mill because we get immediate return for it, low-risk, high-return opportunity. Same thing with dividends, dividends being a Board level matter, we continue to discuss that periodically and understanding that dividends should be meaningful, but sustainable. And then as time goes on, we'll just continue to look at the bigger opportunities, but I think again one of our virtues that we've held closely is our patience and that we're an extremely patient group. So that's a long answer to your question.
Adam Josephson: No, I appreciate it. And just one last one Mark, on the labor situation. I know freight is problematic for everyone these days and there are many other costs that are problematic. Can you talk about labor specifically what you've experienced there and what you're anticipating along those lines?
Mark Kowlzan: Well, again it's pretty understandable that the demand for labor is high across the board. We've been fortunate through the capital spending programs in the last few years that with a lot of new technology going into box plants as an example, we've provided enormous tools for the existing workforce to become much more productive and so that has been a very big benefit to us. But again, we're struggling like everybody else is trying to again look at the workforce, how do you retain and how do you attract people when the demand is so high for the current labor pool in this country. So I think we're in a good place. Our retention rates continue to be high and so I'm feeling pretty good about it, but we're mindful. Tom, you want to add to that?
Thomas Hassfurther: Yeah, listen, labor is an issue for us, it's an issue for our customers as well. It's getting people back into the workforce is going to be incredibly important, but I think it also goes back to your capital question, Adam, relative to we think long-term about what we're going to be doing and how we run this business and one of the things that we've been working on for quite some time now is how to do more with less in terms of labor just because we knew that it was going to be - it's going to be an issue for us over the long haul. So I think that in itself has paid off some big dividends for us that Mark alluded to.
Adam Josephson: Really appreciate it, Tom. Thank you.
Mark Kowlzan: Okay, next question please.
Operator: Your next question is from Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: Mark, Tom, Bob, good morning.
Mark Kowlzan: Good morning.
Thomas Hassfurther: Good morning.
Gabe Hajde: I had a question, I mean not only did you reinstate guidance, but you also made mention of kind of just even second half strength on the packaging side. So I'm curious what you're seeing kind of different maybe than you were before. If there are end markets and I know Tom mentioned this in the call, e-commerce, but what gives you that confidence to make those comments relative again - relatively speaking I think you guys tend to be a little bit more conservative on the outlook.
Mark Kowlzan: Again, I think it's just inherently looking at the marketplace and understanding where demand has been now for the last year, understanding what the paper side of the business has been doing and where demand has been going with paper, looking at the pricing side of the equation and understanding how pricing has been holding up for our corrugated products side of the business, volume, pricing, and then just the success of our own execution and our capital spending. As we go forward, I think we're in a pretty good place now. If one assumes that demand does what we think it's going to do that in and of itself builds a lot of confidence opportunity for us.
Gabe Hajde: All right, thank you for that and I guess I know it may be difficult to discern, but is there any way you can parse out for us at Jackson for the incremental contributions that you're getting maybe in terms of production tons, the dollar amount and then is that being I guess reflected as a detriment to the paper business. Just trying to understand sort of a normalized profitability level might like in paper.
Mark Kowlzan: As far as Jackson, if you - without going into details which we won't, but if you think about the productivity and we've talked about this I believe on the April call for the second quarter Jackson No. 3 produced, I believe 111,000 tons of linerboard if I'm not mistaken. And we did explain that that is higher cost production than the rest of our system and so even at a higher cost at the productivity and efficiencies that that the machine is running at, it's extremely valuable in terms of its contribution to the bottom line and providing us the necessary tons. The cost will come down significantly next year as we go through the first phase of the conversion and then to the final phase the following year, you'll see the cost position at Jackson equal to or better than the rest of our containerboard system, but Jackson currently is a very significant contributor from the No. 3 machine containerboard side.
Gabe Hajde: Okay, but I guess to be clear, those inefficiencies are booked and kind of reported through packaging, not the paper segment?
Mark Kowlzan: Yes.
Gabe Hajde: Okay, thank you.
Mark Kowlzan: Next question please.
Operator: Your next question is from Phil Ng with Jefferies.
Phil Ng: Hey guys, congrats on another impressive quarter in a tough environment. I guess bigger picture, Mark and Tom, the industry is obviously set up for another strong year in box demand. I think many of us had been accustomed to seeing 1% growth and your comps to get a little tougher when we look at 2022. So do you expect the growth profile to kind of be elevated north of that 1% rate. Just any color how you think about the outlook going forward?
Mark Kowlzan: Well, Phil, if I could predict that exactly, I'd be a much wealthier man, I can tell you that. Yes, you're right, we've been more in that 1%, 1.5% growth range. We had this giant leap that took place last year. It's continued into this year. So I think just a maintenance of that number has changed the dynamics of this industry dramatically and I think going forward I think you'll see some more normalization, but I would guess it will be something a little north of where it traditionally has been just given the demand, we see out there in the marketplace and what we're hearing from our customers.
Thomas Hassfurther: I think one way I look at it, if you think about what happened in the 1980s and 1990s in North America in general, we had a lot of offshoring of manufacturing activity that created a decrease in corrugated product demand. At the same time, if you went back over the last 60 years for many decades up into that 1980s, 1990s period, box demand was strongly correlated to GDP. It wasn't a 1:1 correlation, but there was a high correlation. Through the 1980s into the 1990s, that correlation separated and again in the GDP equation, service industry became a bigger factor in GDP, manufacturing was less of a component. What we're seeing is more onshoring of manufacturing, more American businesses investing here in the United States in manufacturing, box demand tied to that factor and I have to believe that as we go forward into the next few decades as an example that you will see on a trend line basis, the box demand will have a new very strong correlation to GDP in general and that's how I'm going to think about the future.
Phil Ng: Okay. Super helpful. I mean that's kind of how we're thinking about it too. So that's great to hear. Appreciating weather is having an impact on wood costs, how long do you think this impact is going to linger and any risk that you're going to have supply shortages that could impact your production in the back half of this year?
Mark Kowlzan: Well, there's a couple of factors involved, it's not - if it was just the wet weather, I'd say well sooner than later it's going to stop raining. We just had an unusually consistently wet winter and spring and then in the summer, we had that one tropical system that came through in June came up through the Southeast. But we've gone through wet periods before but what's also a major factor is the availability of the trucking side of the equation in terms of log hauling to a mill is dependent on trucks and so those truck drivers have a choice, they can go and work over the road hauling various goods or go into the woods and haul logs and so there has been extreme competition for truck drivers. So I would think though that if we get a dry period or a more normal weather period in the South, you'll see a significant normalization of wood cost relatively quickly and then everything else dependent on the economy in terms of labor, driver availability on that side of the equation. So it's a - there's two major factors in that equation.
Phil Ng: Got it, but Mark, it doesn't sound like you're expecting any real shortages where you can't produce, I mean it's ongoing bottlenecks you've kind of experienced. Is that a fair remark?
Mark Kowlzan: Well, I mean, speaking for PCA, we're okay, day to day, we are looking at it carefully as you can imagine but currently barring any unforeseen hurricane, big tropical systems that come up through the Southern states right now, we're okay for the time being. I do watch the weather consistently because of that, but again it's something we can't control. So you do the best we can, but currently we're okay with where we are, we're just again - I'll point out the industry typically at this time of year would be starting their winter wood build and so mills across the Southern region would be starting to stockpile wood in their lay down yards, in their wet storage areas, satellite wet storage areas for the upcoming, what would traditionally be a wet late fall wet winter period. So you compound the problem right now that the inventories across the mill system in the South and Southeast have been depleted. We're running basically day to day short inventories. We're also not able to start our winter wood build as an industry as you can imagine. So it's going to be important that we do get a dry period because we have to set ourselves up for the late fall and winter when you really get the weather systems coming through with the traditional lows that come out of the Gulf of Mexico and move up through. So that's the longer-term concern.
Phil Ng: Got it. And just one quick one. It looks like and I think Mark try to change this question earlier, but it looks like your drop through incremental margins on your volumes just really popped in 2Q. I know the previous two quarters maybe challenges with how strong demand into these bottlenecks, maybe the drop through wasn't as good, anything that sit out in the quarter and do you think that is sustainable in the back half of the year, those great incremental margins you saw in the quarter?
Mark Kowlzan: Again, if you think about the richness of the book of business in general that we have, the operating efficiencies - we executed extremely well in the mills and the box plants. These capital projects and I called it out just in 2018, '19, '20 and then the half of 2021, we spent $852 million on significant improvements in two-thirds of our box plant fleet across the country and massive capital opportunity for the employees to be significantly more productive and that's paid off in a big way for us. And so again, it's pretty simple, great book of business and operate extremely efficiently equals high margins.
Phil Ng: That's super helpful. Thank you. Really appreciate it guys.
Mark Kowlzan: Okay, next question please.
Operator: Your next question comes from Neel Kumar with Morgan Stanley.
Neel Kumar: Thank you. For corrugated, can you just talk about the cadence of the 9.6% volume growth through second quarter by month. And then can you also just touch on what you're seeing in terms of demand trends for your various end markets, maybe what surprised both positively and negatively during the quarter?
Thomas Hassfurther: I can give you the volume trends through the quarter. April was up 12%, May was up 11% and June was up 6% and as I indicated July, we're rolling about 7% over last year. Again, I'll remind you that it's not as if volume went down. Volume continues to improve but it's against a much tougher comp.
Neel Kumar: Right and then can you just maybe touch on end markets, how they performed relative to expectations?
Mark Kowlzan: Well, our end markets have performed as expected. I mean just as I think I indicated earlier that our top accounts are up in double-digits and have plenty of opportunities to continue to grow. They are hindered a little bit by those same things we talked about which supply chain issues, freight issues, labor issues, those sorts of things. So I think that the trend remains very good.
Neel Kumar: Okay and then in Paper, can you just discuss what you're seeing in terms of demand trends so far in July. I mean what's your expectations are for back-to-school demand this year?
Mark Kowlzan: I'm sorry, I couldn't quite hear you.
Neel Kumar: Yes, I'm just saying for paper, can you just talk about your demand trends so far in July and your expectations for back-to-school demand?
Mark Kowlzan: Paper as you could imagine, the trend line has moved up and it's for that very reason the school openings, business openings that are starting to - people got to restock, but we explained that because of the Jackson machine coming out of the system, we've reached a new equilibrium in our ability to go to market and to serve the market. So we've intentionally brought that marketplace to a new point with PCA. So we're up, but we're up to a new level that we can manage to and supply into. So we're not representative of the industry at large because of what we've done at Jackson.
Neel Kumar: Great, thank you.
Mark Kowlzan: Okay, next question please.
Operator: Your next question comes from Kyle White with Deutsche Bank.
Kyle White: Hi, good morning. Thanks for taking the question. You already discussed wood fiber costs for 3Q quite a bit, but curious what your expectation is for recovered fiber costs and what's embedded in the guidance going forward. I understand the sign is impactful to you as other peers but just any thoughts there would be helpful?
Mark Kowlzan: Well, again, your guess is as good as mine. We're fortunate that - again we've, you have to believe with the current trends it's going up and there is nothing that indicates it's going to go down any time soon. Some of the latest data that's come out indicates record low nationwide inventory levels of recycled fiber availability, all time demand for all recycled fibers across the board. And so unless something happens to the marketplace in the world, I don't see that changing, but again, I think for PCA, we've always considered ourselves - we don't have a crystal ball, we don't know where the world's going, so we build ourselves around flexibility and we still remained the lowest dependent on OCC as an example compared to the rest of the industry. We can take advantage of it, but again we're always mindful of maintaining our flexibility and fiber utilization.
Kyle White: Got it. And then going back to Neel's question on some of the end markets, what are you seeing in agriculture. Do you have any exposure to or any impacts from the fires over in the Pacific? And then on e-commerce, are you seeing any kind of signs of any slowdowns as markets reopen and people aren't as home as much?
Thomas Hassfurther: Kyle, this is Tom. Regarding Ag, we have not had any impact on our Ag end markets so far. The majority of the large fire out west are on the Oregon-California border. So, those Northern California Ag markets, those fires are quite a bit north of them. Regarding e-com, we have seen zero slowdown down in e-com. In fact, I think everybody in the business of any sort is trying to figure out how they can use that e-com to better grow their business and consumer preference still remains very strong in the e-com area.
Kyle White: Got it. Thank you. Good luck in the balance of the year.
Mark Kowlzan: Thank you. Next question please.
Operator:  Your next question is from Cleve Rueckert with UBS.
Cleve Rueckert: Hey, good morning everybody. Thanks for taking the question.
Mark Kowlzan: Good morning.
Cleve Rueckert: I just had one follow-up on containerboard production, with the mills coming off maintenance in Q3 and your outlook on demand, how much do you think containerboard production could grow sequentially in the quarter and when do you think you'll be in a position to have inventories more normalized in line with your target?
Mark Kowlzan: Well, again, we're in a much better place than we were earlier in the second quarter because of all the outages we're dealing with, but as we mentioned on the call on a weeks of supply basis in terms of weeks of supply inventory, we're at an extremely low level compared to what our needs are. So even though we built some inventory, we're not where we need to be or should be. Our productivity out of our corrugated - I mean our containerboard mill system will be much better in the third quarter. Production will be up. I'm not going to give you the number. If you can run the math on what you currently have for mills in the system, but we expect to build in terms of our productivity, but also, we also expect third quarter to be a very high demand quarter for that containerboard through our box plant system. So it's probably not the answer you wanted, but I'm not going to give you exact quantitative numbers.
Cleve Rueckert: You have latent capacity in the box plant system, I mean could you run the box plants harder if you needed to?
Mark Kowlzan: I wish and I talk about that all the time. We'd be in big trouble if we had not undertaken a few years back the capital program that we did and also the organizational changes that took place back in 2019 with the technology and engineering groups and how we manage the business day to day, but yes, I wish we had a lot more productivity opportunities in the box plants, but we're building that in every day with the execution of more capital spending and projects that we're doing. So we're in a good place, but it's like we've always talked about it in our mills also and I see this in the box plants. Box plants and mills run really well when they are under pressure and I'll continue to believe that going forward and we have plans, longer-term strategic plans on how we will continue to build out our opportunities and anticipate what our customer requirements will be because it's all about the customer and understanding what the needs are and being able to react and respond in any part of the country and within a region to meet that market demand.
Cleve Rueckert: That's fair enough. And one quick follow-up, you did mention earlier in the prepared remarks, that you're outgrowing the industry through the first half in Packaging, which obviously is implying market share gain. Do you have a sense of where you're gaining share whether either in markets or in product types? And that's it from me. Thank you.
Mark Kowlzan: That's a very complex question and where do we gain share? I think we have a long tradition of having a much broader customer base than most of our major competitors. We have corrugated plants plus sheet plant network that we deal with. We have tried to align with customers that have a very good growth trend and good opportunities and of course, we've got a customer base spread over 16,000 customers all trying to win in their marketplaces. So I think those are the - and of course, I think our ability to be able to, as we've talked about over and over here relative to capital, our ability to expand as our customers' needs and as they grow. So those are the key elements to why we have traditionally gotten more market share than our competitors.
Cleve Rueckert: Thanks very much.
Mark Kowlzan: Thank you. Next question please.
Operator: Mr. Kowlzan, I see there are no more questions. Do you have any closing comments?
Mark Kowlzan: Thank you, Stephanie. I would like to thank everybody for taking the time today to be with us on the call and I look forward to talking with you on October for the third quarter earnings call. Stay well, stay safe, have a nice day.
Operator: Thank you. This concludes today's conference call. You may now disconnect.